Operator: Good morning everyone and welcome to Tremont Mortgage First Quarter Financial Results Conference Call. At this time, for opening remarks and introductions, I would like to turn the call over to Christopher Ranjitkar, Senior Director of Marketing and Investor Relations.
Christopher Ranjitkar: Thank you and good morning everyone. Thanks for joining us today. With me on the call are President and Chief Executive Officer, David Blackman; and Chief Financial Officer and Treasurer, Doug Lanois. In just a moment, they will provide details about our business and our performance for the first quarter of 2019. First, I would like to note that the recording and retransmission of today's conference call is strictly prohibited without the prior written consent of the company. Also note that today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on Tremont's beliefs and expectations as of today, May 14, 2019, and actual results may differ materially from those that we project. Company undertakes no obligation to revise or publicly release the results of any revision of the forward-looking statements made in today's conference call. Additional information concerning factors that could cause those differences is contained in our filings with the Securities and Exchange Commission or SEC, which can be accessed from our website trmtreit.com or the SEC's website. Investors are cautioned not to place undue reliance upon any forward-looking statements. And now, I will turn the call over to David.
David Blackman: Thank you, Christopher and good morning. Welcome to the first quarter earnings call for Tremont Mortgage Trust. On today's call, I will discuss our investment activity and provide an update on our investment pipeline before turning the call over to Doug to review our financial results and balance sheet. Before continuing, I want to acknowledge that earlier this morning, we issued a press release announcing the commencement of a common equity offering. As a result, we will not take questions after our prepared remarks today. Now, turning to the quarter. There are three points that I would like to highlight before reviewing our investment activity. First, our formation capital was fully invested earlier in the first quarter. Second, we increased our quarterly dividend from $0.11 per share to $0.22 per share in April. And third, our manager increased its capital commitment to us in May by increasing its unsecured credit facility from $25 million to $50 million. You will better understand the importance of this last point as we review our investment activity and pipeline. During the quarter, we closed two loans for $47.5 million in aggregate commitments, and in May, we closed two additional loans for $65.6 million in aggregate commitments. To originate to May investments, we borrowed $14.2 million under our own secured credit facility with our manager and funded the balance with advances under our master repurchase facility with Citi. Our investment pipeline is robust. During the first quarter, we evaluated $2.8 billion in 96 potential investments. Our active pipeline today is greater than $500 million in aggregate commitments and includes one investment under application for $14.5 million that is expected to close upon completion of due diligence, seven outstanding term sheets for $210 million of potential aggregate commitments, and 12 potential investments under consideration is being actively underwritten for an additional $282 million in aggregate commitments. Although, we do not expect to originate every investment representing our pipeline, we believe our momentum is strong and that the opportunities available to us by focusing on middle market and transitional home loans is outstanding. I will now turn the call over to Doug to review our financial results and balance sheet.
Douglas Lanois: Thank you, David and good morning everyone. Let's begin with a review of the income statement. Our first quarter net income was $578,000 or $0.18 per weighted average diluted share. This compares with a net loss of $0.31 per weighted average diluted share for the same period last year. The year-over-year improvement is the result of the full deployment of our formation capital and the waiver of management fees, which began in the third quarter 2018. Interest income from investments for the quarter was $3 million, which reflects interest earned on the seven loans closed during 2018 and the two closed during the first quarter of 2019. Interest and related expenses incurred from borrowings on our master repurchase facility and note payable was approximately $1.5 million. As presented in our supplemental financial package, our weighted average all-in-yield on our investments as of March 31st, 2019 is LIBOR plus 4.24%. Details of our portfolio and individual loans can be found in that supplemental financial package on our website at trmtreit.com. Our expenses in the first quarter totaled approximately $873,000 and included G&A expenses of $503,000 of which $35,000 was non-cash stock compensation expense. Shared services expense reimbursement amounted to $370,000. The G&A and shared service expense levels are consistent with our expected levels for the remainder of 2019. As a reminder, we announced that last June, our manager agreed to waive its management fees for the period of July 1, 2018, through June 30, 2020, which amounted to savings of $223,000 for the quarter. Core earnings for the quarter was $613,000 or $0.20 per weighted average diluted share, which again includes full quarter interest payments from seven loans and partial quarter interest payments from two loans. Core openings as a non-GAAP financial measure for a reconciliation of net income determinant accordance with GAAP to core earnings please see this morning's quarterly earnings release, which is available on our website at trmtreit.com. This quarter, we declared a dividend in the amount of $0.22 per common share, which is an $0.11 per share increase from the previous quarter. Now, turning to our balance sheet. At the end of the first quarter, we had $13.9 million in cash and cash equivalent. Our loans held for investment increased by $45.1 million to $180.9 million since year end. During the quarter, we borrowed $31.9 million under our repurchase facility, increasing the total repurchase facility outstanding balance to $104.4 million. Since the end of the quarter, we have closed two investments, utilizing proceeds from the credit facility with our manager in the amount of $14.2 million. Including these two investments, our total loan commitment as of today are $267.9 million and the total principal balance outstanding is $244.8 million. We levered these loans with our Citi repurchase agreement, which has a maximum capacity of $250 million, which increased from $210 million in connection with the additional capital from our manager. And as of today, has a total outstanding balance of $152.6 million. Operator, this concludes our prepared remarks. Thank you.
End of Q&A: